Operator: Good day everyone and thank you for joining us today to discuss First Pacific’s 2015 First Half Financial and Operating Results. We hope you have been able to get a copy of the results presentation, which is available on First Pacific's website, www.firstpacific.com. For today's conference call, we have with us Mr. Manny Pangilinan, our Managing Director and CEO; Mr. Edward Tortorici, our Executive Director; Mr. Chris Young, our CFO; Mr. Paul Wallace, CFO of Goodman Fielder and other senior executives. At this point, I would like to turn to Mr. John Ryan from Group Corporate Communications for his presentation.
John Ryan: Thank you, Sara. The document we’re looking at on the front of it says First Pacific 1H 2015 Results Presentation. Turning the page, it begins with an important notice. For practical purposes, if you see a dollar sign in this presentation, it’s U.S. dollars unless it’s stated otherwise. Turning to Page 3, you’ve got photographs of many of the people, who are on this conference call with us today. And Page 4 is a reminder of First Pacific’s major investments and the areas of business that they are located in, as you can see, I don’t think most of you need a reminder they’re either very large or monopolies in their operations. Now, turning to Page 5, we’ve got the contribution and recurring profit, which is led by turnover down 2% at $3.33 billion and that’s largely because of the 10% depreciation in the rupiah average exchange rate over the first half of the year. Rolling down towards total contribution, you can see that’s illustrated in the two charts on the right hand side of the page. The top chart shows historical over the past few years and the bottom chart shows the different pieces how they changed from the first half of 2014 to the first half of 2015. Overall contributions down 4% at just under $250 million down from about $258 million and that’s led by a decline in the contribution from Indofood, which you all know is due to lower palm oil prices and the aforementioned weak rupiah. PLDT’s contribution is down; we’ll go into more detail on these Companies in a moment, largely because the fast growing data centered businesses have lower margins than the declining traditional businesses, legacy businesses such as international, voice, and texting. And then we’ve got Philex’s contribution down on – largely on lower metal prices, pushing down their revenues and that rolls down to their contribution to First Pacific. FPM Infrastructure, you may recall was our share of a Toll Roads joint venture in Thailand in Bangkok. We sold that stake to MPIC in 2014. PLP, our power plant in Singapore, is facing continued wide disparity, wider than expected between the prices of liquefied natural gas and piped natural gas in its market. MPIC’s contribution is up quite a bit almost $11 million, it has strong growth in all of its four major businesses. And lastly, we’ve got our first ever contribution from Goodman Fielder. The transaction was completed in middle of March this year. And as Sara mentioned, we’ve got Paul Wallace, the Head of Finance and Operations at Goodman Fielder to give you all the rundown in the Q&A of how that company has performed under our first few months of management. Now, if you turn to Page 6, you’ve got a snapshot of our balance sheet as it stands today. The key difference really between six months ago, the end of 2014 and today, is that the large cash balance we had at the end of 2014 has now been spent on the final transaction costs of the Goodman Fielder acquisition and there is a little bit of new borrowing there as well. And of course in the meantime maturities have shortened in the fullness of six months going past. The blended interest cost remains low at 5.4%, maturities 4.3 years, all the data here is in the bullet points and then graphically illustrated on the right-hand side of the table. Given the volatility in emerging market currencies that we’ve seen over the past several months, please take reassurance in the fact that a full 82% of our borrowings are fixed cost. So, we’ve got some stability and the money we are paying out notwithstanding the dividends payments we’ve received being effected by weakening rupiah and to a lesser extent peso. Now, let’s look at the operating companies beginning with PLDT on Page 7. As mentioned, they’ve got a slight dip in revenues, owing to the contrast in margins between the faster growing revenue streams and the declining ones that rolls down to core income down 5% at ₱18.9 billion; and the margin, as indicated, is down 2 percentage points at 44%. The change in service revenues is graphically illustrated in the middle chart on the right hand side of the page. And no surprise, the red columns are in the more traditional businesses. Now looking towards the full-year for PLDT, we’re expecting CapEx to be higher than they originally indicated at ₱43 billion rather than ₱39 billion indicated by PLDT when they reported their full-year earnings last March. And the forecast for core income for the full-year 2015 remains unchanged at ₱35 billion down about 6.4%. Now turning to Page 8, the newest of our larger investments, Goodman Fielder, had basically flat earnings in the first – pardon me, we’re talking full-year numbers for Goodman Fielder here. Their fiscal year-end, I think for the last time now has been on June 30 and they’re moving to the December 31 year-end, Paul Wallace will interrupt to correct me if I’m mistaken. In any case, their full-year numbers are illustrated on the right hand side. Those figures are in Australian dollars, please take note. The New Zealand and international operations performed strongly in New Zealand largely because of a beneficial movement in farmgate milk prices boosting margins in the dairy business. And the international business, which I’m sure Paul will talk about, saw a good strong growth as well. The Australia business as has been the case with Goodman Fielder in the recent past has had difficulties particularly in the bakery business. But as will be discussed in the Q&A, we’ve seen some significant cost saving and efficiency improvements, which we’ve already begun to implement and we can see all of that quickly beginning to roll down to the bottom line, when we next report on Goodman Fielder for the full-year earnings. Now, let’s turn to Page 9, Indofood, our second largest investment and our biggest investment in the food business. Essentially as ever Indofood has delivered stronger revenues in local currency terms. The core income hurts quite a bit by lower CPO prices and a weakening Rupiah making imported sugar and wheat and milk powder more expensive in local currency terms, pushing core income down 8% to just over 2 trillion rupiah. Those numbers worsened in U.S. dollar terms as you can see in the third bullet point there. Now, the first half numbers if you drill down into them show strong sales growth in every business under consumer branded products, a little bit of weakness in the flour business, strongest distribution and as mentioned the Agribusiness hurting from low commodity prices. That picture is probably more or less going to remain true for the full year. We do take note in recently since the end of June that rupiah has weakened significantly. I think Joseph or Chris Young, our CFO, might speak to our exchange rate expectations in the Q&A. Now, let’s turn to Page 10, Metro Pacific delivered the strongest results in the first half of the year. As you can see, all of their businesses on their own terms did extremely well. So that slight red mark in the contribution evolution chart on the bottom right hand side under hospitals is slightly misleading, because we sold 40% of that business to GIC of Singapore, which automatically of course drills down to a lower contribution to MPIC, notwithstanding the strong earnings growth there in that business. The Toll Roads business saw very strong growth close to double-digit in one or two cases 11%, I think [ph], in traffic growth and we’re seeing that trend continue as we move into the second half of the year. The Power business benefited from continuing economic growth, slight increase in demand, and greater retail electricity sales, as well as contribution from smaller operations. Manny who is Chairman of Meralco might speak to that if you’ve got questions during our Q&A. Now the rail and automated fair collection system, they show a negative number, because their investment startup phase, but over the next few weeks those businesses we are hopeful, we’ll begin to get going depending to a certain extent on action by the Philippine government. Now, MPIC for the full year forecasted core income at ₱10 billion up quite strongly from ₱8.5 billion in 2014. And it’s got a large handful of new projects that is beginning to work on. So that its strong growth will continue well into the medium term. Now, let’s turn to Page 11, and that’s Philex, the last of our major holding. And no surprise to anyone, their earnings were down simply because copper prices and more significantly gold prices are lower than they were a year-ago. That pushed revenues down by more than 16% to ₱4.89 billion. The core income was down to a lesser extent at ₱520 million. The lower revenues push that down, but it managed to salvage some cost rationalization to make that number rather better than the decline in revenues. Looking ahead to the full year, it looks like Philex is going to have a similar sort of outlook as in the first half of the year. Its major project done in the South, the Silangan Project is got work carrying forward on its definitive feasibility study, which is the document key to further development of that project and we might answer some questions on that as well. Regarding the continuing mining operation in the North of the country called Padcal in Baguio. There is some fairly optimistic exploratory work on potential new mineral resources in that region. Now the remainder of this presentation consists of some tables with the contribution summary on Page 12. I won’t read it to you; you’ve got it there in front of you. That followed by a consolidated statement of our financial position. Those of you who know us well understand that we tended to focus more on head office numbers rather than the consolidated ones. And then it ends with a head office cash flow table on Page 14 and then an adjusted NAV per share. I would imagine that some of you would want to ask about the increase in our NAV discount from the end of 2014 to the end of June. I personally haven’t been non-trust by that. And I think it maybe something of a market failure notwithstanding the exit of over trillion dollars from emerging markets over the past few months. But any case, this winds up the opening narrative of our first half results. And we can now move to Q&A.
Operator: And we’ll go first to Mark Webb with HSBC.
Mark Webb: Hello, good evening. Thanks very much for the conference call. Just my first question, just on Goodman Fielder, obviously, new business is quite [indiscernible] to understand that the prospects of this organization. Maybe you could just provide a bit more information about how the restructuring and reorganization program is going. How you are trying to tackle some of the weaker business in Australia such as the bakery business and what do you think that prospects of the second half of this calendar year and looking into 2016?
Chris Young: Paul, could you take that please?
Paul Wallace: Yes. Hi, Mark. I think we’ve had this business now for about six months. We’ve changed all the senior management. We’ve changed all the reporting structure. It was previously run on a very complex or matrix organization. We’ve got everybody focused on a country basis. We’ve got Graham Pickles who has previously worked with the group and been pretty successful in other distribution businesses, he is involved with the international export business and he is overseeing the Fiji business and the Papua New Guinea businesses, which are both very profitable. I think we are expecting the completion of the expansion of the UHT milk plant in Christchurch to happen on schedule in October. And we’re currently – actually the sales team that Graham has put in place in China with help of Wilmar, have been so successful in the last two months that this month they are actually having to ration the sales of milk into China and they seem to cleared all the issues that they had in the past with clogging up the channels. I think Graham is very optimistic about milk sales into China. We’ve also started shipping for the first time of our branded grocery products, but to ramp this up properly this is going to take a while. I think we see the second half of 2015 to just be spending time getting everybody ready. So they can have a running start the 2016 and we’ve told people when they did the budgets for this year, which we just completed in June, that they needed to make sure that they’ve allocated enough resources so that they were ready to go to 2016 at full blast. The big Australian business, which has been troublesome, has been fresh baked bread, where the turnover is about AUD600 million a year, but we make pretty much no money out of it. And the approach to that is as we need just to keep to find ways to take cost out, we’re in discussions with other people in the market about how we might change the logistics model, we are talking to the supermarkets about how we might need to change the logistics model, we are looking at ways of taking material cost out, we are looking at ways to reconfigure the footprint of the various plants. But realistically, the slice loaf business in Australia is never going to be a big winner. And to some extent, it’s the same story in New Zealand, the key thing in New Zealand will be to help with the export of dairy products and we’re pushing ahead for the first time with the export of more yogurts and cheeses. But again, on the baking side, which is mainly domestic market, the concentration is to take cost out; we’ve hired a new logistics guy in Australia, who previously ran logistics for Coca Cola in Australia. We’ve hired a new logistics guy for New Zealand, who previously ran Unilever’s logistics around Southeast Asia, we just hired a new country head for New Zealand which is, previously a very senior person with Fonterra, we’ve been very lucky to get a very senior person from Woolworths to join us in Australia to head up that country. And as I said before Graham has gone around and appointed new heads for Fiji and PNG and is building up the export team both in China and building up the base in Singapore. I think we just going through for the first time with this crew, the three-year budget program and the expectations are the budgets will be finished in October. I think at the moment, one thing I would say is that we haven’t found any ugly surprises, when we looked at things. We have seen more opportunity than we had previously thought. There’s been one or two messages that have to be cleaned up, but for the most part, I think, everybody is pleasantly surprised that what we are finding seems to be more opportunity than peril.
Mark Webb: Great. Thanks very much Paul. And then I just had two quick questions. Can you give any sort of targets; do you have any sort of financial targets you can tell us about for second half of 2015 and into 2016?
Paul Wallace: Well, I think, 2015 is not going to be that exciting, because we really have asked people to make sure that they got things spent on resources. And I’ll give you one example, the amount of people – the amount of money that we should be spending on the advertising and brand promotion, historically, the previous management was always worried about meeting targets, had really cut this back to the bone, and in some markets it was less than half a percent of sales and it should probably be 10 times that. So we’ve asked people to budget on the basis that there’s going to be a much more normal advertising spend and that’s probably – there’s been quite a bit of catch up. What I would say without giving any specific numbers at this point is that all the initial indications are that we will be achieving the acquisition model earnings for 2016 and 2017. I think 2015 is going to be bit of an odd year, we’ve changed around the management, we told people to make sure that they are investing in brand support and new product development and I think that’s what people have to think about when they look at the outcome for 2015, that it’s really trying to get people ramped up, so that they can really have a running start to 2016 and 2017.
Mark Webb: Okay, thank you for it.
Operator: And we will take our next question from Karl Choi with Merrill Lynch.
Karl Choi: Hi, three questions here, first one, again on Goodman Fielder, I noticed the discussion about 7.8% EBIT margins in the second quarter, not only there is a lot of seasonality, but it does seem like it’s quite a bit nicer than, what they were reporting previously, was it just because of input cost and looks like some of the savings that you are talking about yet to come, that will be on top or are we already seeing some of the input cost sort of or some of the cost synergies coming through? That’s the first question.
Chris Young: Well, I think there was – number of things that sort of affected the last quarter and some of it was just the way that we cleaned up the accounts. I think that starting from June, you will see the effect of some of the cost savings started to come through by the end of the year, but the full benefit isn’t going to be in 2016. I mean, there is all sorts of things that we are looking at the moment, changing packaging, for example, changing the pricing of plastic bags for loaves of bread, I know it doesn’t sound very significant, but given the packaging and the materials is about a third of the total costs. So you can knock some money off that on a full year basis going forward, but because of the existing contracts that are in place with a number of people, it typically takes you somewhere between three to six months to be in a position to start realizing identified cost savings, when its results in changing, who you are buying your contract label from, or changing where you are buying your materials from, or when you changing your packaging. So there is a delay. But what I would say is, is that we’ve got a team of people who do nothing else now but go around and identify cost saving opportunities. But the one that will be more mediate is where we’re actually reducing there is number of programs in place to reduce the amount of wastes in the manufacture of bread in Australia, which used to be by one measure used to be 16%. And we reduced that by some – by about third and the target is to keep pushing part of the good [ph] reduced even more. On an annualized basis, that could be significant. The trick for us is to ensure that all these cost savings we get to keep and they don’t leak out somewhere or the worst cases that the major customers find out that we’ve got some logistics cost savings in that and they typically – in the typical Australian environment they would insist that they sharing those sorts of savings. And I think it’s going to be very important for us to fix what we can fix internally and make sure that we hang on to it.
Karl Choi: Okay, great. I appreciate it. My second question is on the FPM Power. Just looking at the first half results losses increasing on year, just want to know what the outlook is for the second half or should we expect losses to still be up year-on-year in the second half?
Robin Nicholson: Its Robin here, I’ll have a shot at that. I think the first half was badly affected by the differential pricing between LNG and PNG. And that’s always a fact but it was particularly bad at the beginning of the year. I think for the second half retail sales look a bit stronger and we’ve been able to make some savings in the cost of LNG which is our fuel by buying some of it on the spot market. So I think the slightly disappointing first half is likely to be recouped to some extent in the second half and we are looking at materially higher performance based in terms of core income and in terms of net income. So the second half we hope be a bit better than the first half.
Karl Choi: Would you think you’re still be generating losses in the second half?
Robin Nicholson: Yes, I mean, I think, we’re expecting losses this year, realistically the budget reflects in fact we think will be losses this year.
Karl Choi: And lastly question, just want to find out, in the headquarter of cash flow statement their dividend and fee income, apart from bidder was there meaningful fee income in the first half because the amount of $183 million was quite a bit larger than last year’s even though, I think, cash flow – sorry, earnings and I think the dividend declared by most was – most of the investments was relatively flat year-on-year expect for Indofood. You just trying to figure out why the big increase there?
Joseph Ng: It is Joseph here from [indiscernible] timing difference in respect of the collection of the Indofood final dividend for the fiscal year 2014, because there is a kind of a new rule found in Indonesia’s stock exchange that well they need to pay the dividend within a certain time limit after they hold a new shareholders meeting. So, that’s the main change because in the past we normally receive the dividend from Indofood in the somewhere around August in the second half. So it’s mainly the timing difference other than that, there is actually no significant change from last year, of course I mean if you take into accounts a dividend income from other units like the PLDT and clearly the dividend from PLDT is dropped a little bit in the first half of 2015 because they have a kind of a lower recurring profit in respect of 2014 versus 2013 when they declared a final and special dividend and of course the Peso exchange rate is a little bit down in the first half of 2015 versus 2014. So that kind of that increase as reported in the cash flow statement is mainly because of the timing difference attributable to the collection of Indofood with that dividend in the first half.
Karl Choi: Okay, got it. Great, thank you.
Operator: And we’ll go next to Aras Poon with Citi.
Aras Poon: Hi, management. Thanks for taking my question. Just the question regarding to the dividends and the share repurchase. So we really after the acquisition of Goodman Fielder, the net debts have to come – ahead of has increased a bit, but given at this level we do see or keep any rediscount. Just wanted to see if management has any considerations and how to balance the dividends and the share repurchase in the future?
Manny Pangilinan: We – first of all let me start with dividends. We’ve repeated the dividend levels for the first half of the year that we had for the second half – the first half of last year, so we’ve been paying the dividend for the half year when compared to last year. How we calculate – and for the second half will really depend upon what happen to exchange rates and other factors, which affect our overall results. Of course, we’ll continue to pay at least the rate of 25% of our core profit whether we can do better than that will depend entirely on how things look. So to sort of look back approach that we’ve decided to go with slightly cautious in a way because currencies and markets usually volatile at the moment. But we will certainly meet the minimum of 25% of core income paid out as a dividend and I do say we’ll do a little bit better, but slightly I’m willing to say more than that given the volatility of the markets generally. Now, turning to share repurchases, we’ve had made success with share repurchases over the last few years. It’s been very difficult for us to correlate any significant share repurchase with a reduction in the NAV discount. I think what we expected to concentrate on over the next few months is tackling a debt, it’s not dangerously high by any means, and it’s certainly within our forecast. But I think to the extent that we have a spare funding, we intend to look at bringing on debt down and that’s the priority. So issuing the dividends meet our dividend targets is one priority and then trying to bring the debt down if we have spare funding is the second priority. I don’t think given the cash flow that we have available. The discretionary spending is going to be much emphasis on a small share repurchases, simply because our experience over the last couple of years has not been very promising on that front.
Aras Poon: All right, thanks. That’s very helpful.
Operator: And we’ll take our next question from Mark Webb with HSBC.
Mark Webb: Hello, again. Just two questions, just sort of quite important questions, firstly in the Philippines. How do you characterize your regulatory environment in a period after the presidential election, if it’s likely to remain very tough and do you expect any progress in terms of the tariff increases? And secondly, Indonesia, both have been says pricing in Indonesia [indiscernible] variety of companies just how weak demand has been even in quite sort of the stable products, stable products, so the question is do you – are you seeing any change in that demand environment coming through looking at your businesses?
Manny Pangilinan: Well, in terms of the regulatory environment for the balance of the Aquino’s administration, I would say, there has been no significant change in that environment. There has been some perhaps some slight improvement more – maybe a more positive attitude towards the business, you know. So that’s a tough one to call. We continue to – with quite a bit of persuasion the government to get for example the tariff increases on the toll rates to the point where we’ve signaled that we might take some partial actions to get the toll rates increase, you know. But I think overall I would say that it’s just a slight improvement in the way things are managed by this government. So, we received approval to increase the water rates to the account of the consumer price index. We managed to get the changed tariff of MERALCO pretty quickly with the Energy Regulatory Commission. Toll rate has been difficult so far and so that’s quite difficult to predict. So, it’s sort of a mixed signal from this government. And so weather in the raining months, it will continue to improve I think that that remains to be same. Well, I think that said we’re quite happy that the business continued to be managed well. We’re happy that the volume of water sold or the electricity sold, toll rates traffic have increased despite the regulatory challenges. So that’s why I think Metro has done well because of cost control and the volumes sold of its base units.
Manny Pangilinan: Try Indofood…
Paul Wallace: Yes, sure, I can add a word or two if necessary…
Manny Pangilinan: Yes, if you could.
Paul Wallace: I mean, clearly, the overall Indofood position is effected by lower commodity prices, CPO prices. But on the consumer branded products side, generally speaking, volumes have been flattish, but we have seen revenues increased because we’ve been able to pass on price increases. I don’t think that adjacent is expected to change much in the second half although certain aspects of the business, dairy for example. We hope that we will be able to expand the sales in terms of volumes. So taken in the round with the caveat that CPO prices are likely still to be weak. We think the second half of the year should be okay.
Mark Webb: Okay, great. Thank you.
Operator: And we’ll go next to Jeremy Yeo with Mizuho Securities. Please check your mute button. Your line is open.
Manny Pangilinan: Hi, Jeremy…
Operator: Hearing no response, I will clear the question. And at this time, we have no further questions in the queue. Hence there are no more questions, may I ask Manny Pangilinan to give his closing remarks.